Operator: Good morning and welcome to the Keane Group’s Second Quarter 2017 Conference Call. As a reminder, today’s call is being recorded. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. For opening remarks and introductions, I would like to turn the call over to Kevin McDonald, Executive Vice President and General Counsel for the Keane Group. Please go ahead, sir.
Kevin McDonald: Good morning and welcome to Keane Group’s second quarter 2017 conference call. Joining me today are James Stewart, Chairman and Chief Executive Officer; and Greg Powell, President and Chief Financial Officer. As a reminder, some of our comments today will include forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, reflecting Keane’s views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. The company’s actual results could differ materially due to several important factors, including those risks and uncertainties described in the company’s Form 10-K for the year-ended December 31, 2016, Form 10-Q for the Quarter-ended March 31, 2017, recent current reports on Form 8-K and other Securities and Exchange Commission filings, many of which are beyond the Company’s control. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Additionally, we may refer to non-GAAP measures, including adjusted EBITDA and adjusted gross profit, during the call. Please refer to our public filings and disclosures, including our earning’s press release for definitions of our non-GAAP measures and the reconciliation of these measures to the directly comparable GAAP measures. With that, I will turn the call over to James.
James Stewart: Thank you, Kevin, and thanks, everyone, for joining us on the call this morning. We’re pleased to report strong second quarter results, including 35% sequential growth in revenue to $323 million, growth in our adjusted EBITDA to $36 million from $13 million in the previous quarter, and annualized gross profit per fleet of $10.5 million compared to $6.3 million in the first quarter. We exited the second quarter with 19 active hydraulic fracturing fleets, placing two new fleets into service during the quarter for an average of 18.3 deployed fleets. We expect to place our 20th fleet into service in August, which combined with five active RockPile fleets, brings Keane’s total active fleet count to 25. Importantly, much of the growth we experienced this year has been driven by the deployment of additional fleets to support existing customers’ activity, validating our strong partnership’s with these quality producers. The higher pace of completions demand during the first few months of the year continued and accelerated during the second quarter of 2017, as the rig count continued to climb. As a result, demand for hydraulic fracturing continues to exceed dispatchable supply and pricing continues to improve, solidifying the fundamental economics for U.S. onshore completions services. This view is corroborated by what we’re seeing and hearing in the field from current and prospective customers who are unable to secure frac crews to support their ongoing completions programs. We expect this trend of constructive supply and demand dynamics to continue as a portion of the horsepower that was reported available by other providers during the prior cycle remains idle today, and likely does not return to service without substantial new capital investment. This attrition in market capacity is largely driven by asset retirements and equipment cannibalization, which we believe will more than offset the nominal newbuild horsepower additions seen and expected in 2017. Another factor contributing to the strong demand for hydraulic fracturing services is the higher service intensity required to support modern frac jobs, which elevates the bar for equipment quality, leads to accelerated maintenance frequency and requires incremental horsepower per fleet. As a result, providers of high-quality, safe and reliable completions services like Keane continue to experience increasing customer demand, translating to improved pricing and margins. Additionally, our technology capabilities enhance the value and level of engagement we are able to offer our customers. Looking ahead, we believe that completions activity is set for a robust second-half of 2017, given these strong fundamentals combined with the natural lag between drilling and completions. However, we remain in constant dialogue with our customers and others in the industry to assess the potential impact of ongoing commodity price volatility on their future activity. Today, plans from our customers remain unchanged. However, we estimate that even a moderate rig count decline still supports a constructive balance of supply and demand for completions services. We believe that two differentiating factors add resiliency and greater visibility to our business. First is our strategy of partnering with top tier customers with large, efficient, and sustainable drilling programs that are designed for continuity through cycles. As we’ve said and is evident in the progression of our gross profit per fleet, all of our fleets work under flexible dedicated agreements with the ability to recapture market pricing and cost escalation. Second is our expansive footprint, which features geographic and commodity diversification with operations focused on both oil and natural gas well completions, including a leadership position in the Marcellus/Utica. From an asset deployment perspective, Keane’s strong capital position supports our consistent maintenance program through cycles, driving what we believe is an industry-leading average re-commissioning cost of approximately $2 million per fleet. The value of our maintenance program is evidenced by the successful re-commissioning of seven frac fleets in 2017, all of which are currently deployed and generating attractive and accelerating incremental margins. Turning to M&A, we are excited to have completed our strategic acquisition of RockPile Energy Services in early July and I’m pleased to report that our integration efforts are on schedule and proceeding as planned. This transaction is another clear example of Keane’s disciplined growth strategy and commitment to execution evident throughout the company’s history. In addition to achieving greater scale through the approximately 25% growth in our hydraulic fracturing fleet, the RockPile acquisition also supplements Keane’s capabilities in adjacent service offerings that have attractive fundamentals, including cementing, where we are further evaluating opportunities for optimization and growth. We are excited to welcome RockPile management and field employees to the Keane team and look forward to working together to grow our combined platform. I’d now like to turn the call over to Greg, who will provide an update on our growth strategy, a review of our second quarter performance and expectations for the third quarter.
Gregory Powell: Thanks, James. We’re pleased by the pricing and margin improvement Keane experienced during the first-half of the year, and encouraged by the ongoing momentum and positive market indicators for the second-half of 2017. On our first quarter earnings call in May, we indicated that leading edge annualized adjusted gross profit per fleet was in the range of $12 million to $13 million. The tailwinds present at the time have persisted and have led to an additional step-up in leading edge annualized gross profit per fleet of greater than 20%. While the trajectory we’re seeing is positive, we do not yet believe that leading edge margins are supportive of newbuilds. We believe this is the case for two primary reasons. First, to achieve the return we require to deploy new capital based on acquisition costs for increasingly larger fleets, in addition to related maintenance CapEx, annualized gross profit would need to exceed or have line of sight to more than $20 million per fleet, above where we see the market today. Second, we believe today’s uncertain macro backdrop and volatility will encourage discipline and restraint in evaluating newbuild projects. The impact of the market outlook is likely amplified, given the increased capital demands for maintaining current equipment and more restrictive capital access than in previous cycles. In summary, our organic growth triggers are based on two key criteria focused on maximizing value for our shareholders and customers. First, line of site to sustainable customer demand, and second, return economics that are consistent with our targeted rate of return. Turning now to financials. Revenue for the second quarter of 2017 totaled $323 million, an increase of 35% compared to $240 million reported in the first quarter, driven by higher pricing from contract re-openers on a portion of our portfolio and the deployment of two additional hydraulic fracturing fleets in April and May. We averaged 18.3 deployed hydraulic fracturing fleets during the second quarter, up from an average of 15.5 fleets during the first quarter, exiting the second quarter with 19 deployed fleets versus 17 at the end of the first quarter. Second quarter fleet commissioning costs totaled approximately $3 million for the re-commissioning of two fleets, in line with our historical average of $2 million per fleet or less. Adjusted EBITDA for the second quarter totaled $36 million, an increase of approximately 175% compared to the $13.1 million achieved during the first quarter of 2017. Adjusted gross profit totaled $47.8 million for the second quarter, almost double the $24.3 million from the first quarter, representing sequential adjusted gross profit incrementals of approximately 28%. Annualized adjusted gross profit per fleet was $10.5 million, up from $6.3 million in the prior quarter due to pricing improvement and a reduced rate of input cost inflation. Adjusted EBITDA for the second quarter excluded approximately $9.9 million of one-time items, primarily comprised of fleet commissioning costs, non-cash stock compensation expense, accruals on various litigation matters and acquisition and integration costs. We continue to focus on integrated completions services, including the bundling of frac and wireline. Of our 18.3 average deployed fleets during the second quarter, 64% were bundled with wireline, an increase compared to 58% bundled during the first quarter. Bundling remains a key differentiator for Keane and a major source of efficiencies on the job site. Selling, general and administrative expenses totaled $22.3 million for the quarter, compared to $17.6 million in the first quarter. Excluding one-time items, SG&A during the second quarter totaled $11.9 million, compared to $12.1 million in the prior period. One-time items in SG&A for the second quarter included non-cash stock compensation expense, accruals for various litigation matters and acquisition and integration costs related to our acquisition of RockPile. Our ability to maintain SG&A with continued growth in our operations reflects the fixed cost absorption inherent in our business model, in addition to ongoing expense management initiatives. Turning to the balance sheet. We exited the second quarter with cash and equivalents of approximately $76 million compared to approximately $86 million at the end of last quarter. Sequential cash usage of approximately $10 million was primarily driven by positive operating cash flow, offset by CapEx and debt service. Total debt at the end of the second quarter was approximately $145 million, effectively unchanged compared to the first quarter of 2017. From a run rate perspective, our second quarter adjusted EBITDA performance represents an attractive debt to adjusted EBITDA ratio of approximately one times. Net debt at the end of the second quarter was approximately $69 million. Concurrent with our RockPile acquisition completed in July, we expanded our term loan facility by $131 million, bringing total pro forma debt, net of unamortized deferred charges and excluding capital lease obligations to approximately $276 million and representing debt to adjusted EBITDA based on our second quarter run rate performance of just under two times. Pro forma for our expanded term loan facility, net debt is approximately $200 million. When considering contribution from the fully utilized RockPile assets and the margin momentum in our base fleet, we expect leverage to reduce over the coming quarters as we maintain our focus on a flexible and conservative capital profile. Liquidity as of June 30, totaled approximately $198 million, including cash and credit facility availability. This liquidity allows us to be offensive with regards to opportunistically executing on growth opportunities and defensive in the event of weakened market conditions. As we’ve continued to execute on our growth plan and approach full deployment of our hydraulic fracturing fleets, evolving demand characteristics have resulted in moderate adjustments to our fully utilized fleet capabilities. Our mix of deployments, which include a heavy concentration in high-demand basins like the Permian, Delaware and Marcellus/Utica, coupled with an overall increase in service intensity via longer laterals and an increasing prevalence of multi-well pad drilling and zipper fracs, higher rate jobs, and the requirement of spare capacity to support normal maintenance has required average fleet size to increase from 40,000 horsepower to 45,000 horsepower per fleet. As a result, we expect to be effectively fully deployed on our approximately 1.2 million hydraulic horsepower when we place our 25th hydraulic fracturing fleet into service in August, with a 26th newbuild fleet previously ordered by RockPile deployed during the fourth quarter. Importantly, the revenues and margins we are generating reflect these higher horsepower demands from our customers. Additionally, our ability to optimize horsepower, along with potential shifts in our basin mix could create additional capacity and allow us to achieve further fleet deployments on the same base of hydraulic horsepower. Further, the increase in horsepower requirements per fleet should be constructive to supply and demand dynamics. Looking ahead to the third quarter of 2017. We expect revenue for the third quarter of 2017 to increase between 45% and 60% sequentially. We expect approximately 60% of this increase to be driven by contribution from five active fleets acquired during the RockPile transaction, and the remaining 40% driven by higher pricing and continued execution across our fleet, as well as the deployment of an additional fleet in August. From a gross profit perspective, we’ve provided frequent commentary on the momentum of annualized adjusted gross profit per fleet progression since the start of the year, which improved from $4.4 million during the fourth quarter of 2016 to $10.5 million during the second quarter. As indicated earlier, we’ve seen leading edge gross profit per fleet improved by greater than 20% as compared to the $12 million to $13 million reported in May. We expect leading edge annualized gross profit per fleet to increase to mid-to-high teens, driven by ongoing tightness in hydraulic fracturing capacity. Based on current market conditions, we expect our full portfolio of fleets to move towards these leading edge margins ratably through the end of 2017, as we utilize our periodic re-openers to achieve market pricing, partially offset by higher input costs. As we stated in May, ancillary service assets we acquired as part of the RockPile acquisition together represent current annual revenue run rate of between $35 million and $40 million and gross margins of between 10% and 15%.
Unidentified Company Representative: Before we open the call up for questions, we want to provide some clarifying comments to address questions we received since issuing earnings. In the final set of tables found in our earnings release, we provide a bridge between adjusted gross profit and adjusted EBITDA. For the three months ended June 30, 2017, the bridge has six adjusting line items to reconcile between the two metrics. The $3.7 million listed as other income represents a one-time settlement. In the following line, this same settlement is then backed out of acquisition and integration cost. The combination of these two items results in an adjustment to EBITDA of $2.5 million, which reflects the acquisition and integration cost associated with our RockPile acquisition. This should help provide a clearer understanding of our adjustments to reach 35.994 million of Adjusted EBITDA. With that, we’d be happy to take your questions. Operator?
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Jud Bailey from Wells Fargo. Please proceed with your question.
Jud Bailey: Thanks. Good morning, guys.
James Stewart: Good morning, Jud.
Gregory Powell: Good morning, Jud.
Jud Bailey: Quick follow-up question. Greg, I just want to make sure I heard you correctly. So because your – the size of your each spread is going out to 45,000 horsepower. The legacy Keane fleet was 23 fleets and you add six RockPile, which will take you to 29. Do I understand you correctly now that fully deployed you’re going to be 26 fleets with the average size is going to be bigger, I just want to make sure I heard that right?
James Stewart: Yes, that’s correct. And the 26 will be a 25 with the additional one going on in August and then the 26 will commence once delivered in the fourth quarter.
Jud Bailey: Okay, all right. I just want to make sure. Second question is just kind of looking forward and kind of thinking about the market if, let’s say, you get to year-end, you’re at, call it, mid to high-teens on gross profit per fleet, pricing is stabilized and activity kind of levels off. I’m trying to think through how do – how should we think about your margins in a – I don’t know a flattish environment? I would assume there are probably some additional operating efficiencies you could achieve to help margins on pricing may or may not move around, but how should we think about your margins as we think into next year, if activity were to kind of level off kind of the different moving pieces off from a margin perspective?
Gregory Powell: Yes, I mean, look, operating efficiencies is something we’re always working on, I think, the local sand in the Permian is going to be a big tailwind for all of us in the industry. But as far as a moderate reduction in the rig count, our view is that the rig count stays north of 750, which is a couple hundred below the current rate. The frac supply and demand still stays pretty constructive. So, we’re optimistic that there’s still going to be pricing upside to that high-teens run rate going into 2018, if the frac supply demand just stay constructive where they are today.
Jud Bailey: Okay, all right. I’ll turn it back. Thank you.
Gregory Powell: Thanks, Jud.
Operator: Thank you. Our next question today is coming from Sean Meakim from JPMorgan. Please proceed with your question.
Sean Meakim: Thank you. Hey, good morning.
James Stewart: Good morning, Sean.
Gregory Powell: Good morning, Sean.
Sean Meakim: So, Greg, we’ve talked historically about having some lag in terms of the resetting of pricing in your contracts and you’ve been trying to, as you’re reworking them with customers speeding up that reactivity of the escalators, and I think RockPile already had more spot like pricing in their contracts, you talked about this a little bit in your prepared remarks. But what is the – where is the kind of mix of contracts like today now that RockPile is part of the fleet? And I guess, how do you see that progressing as we get towards yearend?
James Stewart: Yes. So that’s exactly right. Our next generation of contracts, we’re trying to make them more responsive. So as contracts come up for renewal, or we enter new ones, and most of that was around two things. Number one, moving from six months adjustments to quarterly and also allowing them to be more responsive to changes in our input cost to recover escalation sometimes enter a quarter. I’d ay, just based on new fleets, we put to work, we probably in RockPile, we probably have 30%, 40% of the fleet is more responsive now, and the other 60% to 70% is, at least, one or one-year deals that we started the year with and renewal – renewal kind of going into 2018. So that’s about the mix of where we are today and we’ll continue to try to move the legacy portfolio to two more responsive agreements.
Sean Meakim: Got it. Okay, thank you. That’s very helpful. And then I just wanted to talk a little about the M&A market. How is that – how has the M&A changed, now that the IPO market looks a little bit more challenging than did a few months ago. And I think not just for frac, but also thinking about this collection of ancillary services that you have now as well?
James Stewart: Yes, I think it certainly makes it more constructive. I mean, M&A has always been a part of the fabric of our company. We’ve got times in the past, where we’ve grown organically and times when we grow through M&A. So it’s a piece of our growth strategy, but it’s whatever the most accretive path to growth is. So we continue to keep an active pipeline and with that IPO alternative kind of being choppy, it certainly helps build up our pipeline of opportunities. So, I’d say, the opportunity set is probably pretty robust right now. And we’re looking at a comprehensive set of deals like we always do across the completions – the whole completions envelope.
Sean Meakim: And I guess one last one, just try to, if I could, real quick. Would you say thinking about your frac fleet, you talked in the past about trying to get the best to recycle returns not necessarily building for peak 2018 is a bit uncertain, how do you think about what’s the right size of fleet for your – for frac?
James Stewart: The right amount of horsepower for the company?
Sean Meakim: Yes, on a true cycle basis?
James Stewart: Yes, we’ve never really had a horsepower bogie out there. We just try to grow responsibly and we feel like at 1.2 horsepower. We have critical mass in basins to get the density we’re looking for in the overhead leverage. So, growth opportunities going forward won’t be set on a horsepower bogie, it’ll just be set on something that’s accretive and makes sense, and is consistent with the backdrop. There’s a lot of murkiness out there on the backdrop. And the way we think we’ll get clarity to that backdrop is, when our customers start to set their plans in their budget. So I think until we see some of that get a little bit clearer, we’re going to be pretty disciplined.
Sean Meakim: Fair enough. Thanks for all the feedback.
James Stewart: Thanks, Sean.
Operator: Thank you. Our next question today is coming from Connor Lynagh from Morgan Stanley. Please proceed with your question.
Connor Lynagh: Yes, thanks. So I guess, given that you’re not looking to invest in newbuilds right now, you’re going to be running this business with relatively high amount of free cash flow. So I guess, I’m wondering how you think about the best use of this cash? Is it reinvesting in your other service lines, or is it pain down debt to some sort of special dividend or something like that to return cash to shareholders, how do you think about that?
Gregory Powell: Yes, it’s a good question. I mean, I think we’ll look at the alternatives out there and go with the highest return. Ideally we’d like to invest in growth. It depends on that backdrop I just mentioned and the accretion of opportunities. So M&A is an opportunity for growth to deploy capital. And certainly, our debt is very flexible. We can pay down portions or all of the debt without prepayment penalties. So that’s always an option. But the underlying principle here is keeping the balance sheet strong, both for offensive purposes and allows us to be defensive through cycles like we did in the last downturn.
Connor Lynagh: Right. So just curious what would M&A ideally look like for you? Is it a large acquisition that substantially increases your scale? Is it rolling up a small geographic market? Is it building on your other service lines? What’s your priority, if you say this?
James Stewart: It could be any of those. We kind of cast a broad net and we harvest opportunities over time. And the priorities of the seller may change over time, as things change. So we don’t really have a laser focus, we cast a pretty broad net and then just harvest the opportunities and see what makes sense for the company.
Connor Lynagh: If I could just squeeze one more in here, what do you think the optimal scale within a given basin is?
James Stewart: It feels like you want to have a minimum of probably two to three fleets. I mean, you want to get to multiple fleets, allows you to amortize the leadership team in the overhead and get some leverage on logistics. So, I think you want a minimum of kind of two to three and then we’ve got 50% of our capacity in the Permian now, and that’s a large business, and so you get some good scale with that. So, there is some minimum threshold to just be able to allocate your overhead. And then beyond that, you grow to what you can handle and still deliver for your customers.
Connor Lynagh: Got it. Thanks a lot.
James Stewart: Thanks, Conor.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Michael LaMotte from Guggenheim. Please proceed with your question.
Michael LaMotte: Thanks. Good morning, guys.
James Stewart: Good morning.
Michael LaMotte: Just a few quick ones for me. You’ve started to use some of the container solutions that are in the market today. What percentage of the fleet is – are actually using containers? And is that number going to grow you think over the next few quarters?
James Stewart: Yes, Michael, it’s about 20% today and the bulk of that came with RockPile, as I mentioned on the RockPile call, their leadership team are some of the pioneers of the container solutions. They were the – one of the first ones to get started in that business in North Dakota. So we’ve tried numerous options out there. We continued to evaluate them. There’s – it seems like there’s a new solution coming to market kind of every six-day week. So we’ve not chosen our preferred provider yet. We’re still in that evaluation phase. But I expect the containers to be a part of our ultimate solution.
Michael LaMotte: Okay. And if I think about efficiency on fleets that are fully utilized, do you get more productivity out of those fleets with the containers, and if you move more – if that 20% goes up, is that really – is an accretive move to GP? I mean, is the improvement in efficiency greater than the lease and operating costs?
James Stewart: Yes, I mean, we don’t…
Michael LaMotte: I’m just looking to see how you can get more revenue out of 26 fleets of capacity?
James Stewart: Yes, for us the containers are more of a cost opportunity as opposed to an efficiency on more output. What it allows you to do is, you can unload containers into a staging areas opposed to have truck sitting and potentially incurring demurrage – should you have a pause or a shutdown in your operations. So the boxes allow you to turn trucks faster and put things in a staging area. So most of this is a cost opportunity. I mean, in six years, we’ve never missed the stage because of lack of sand. So we don’t think this is going to allow us to put more stages into ground, but it comes down to a cost opportunity. And because so many of these solutions are in their infancy right now and they don’t have enough scale on each of these solutions, the cost savings are just starting to kind of mature and show up.
Michael LaMotte: Okay. And then, Greg, last one for me, if – are there noticeable variances in pricing by region or horsepower per fleet in regions?
Gregory Powell: No, not discernible. I mean, I think the – I think sometimes you see temporary price dislocation, but these are mobile assets, normally it normalizes itself. And on the horsepower per fleet, everybody’s service intensity has been going up across the country occasionally in the Bakken you might historically see some lower rates leave jobs. But the general migration of the customers everywhere has been going to higher rate and higher pressure and longer laterals.
Michael LaMotte: Great. Okay. Thanks and congratulations on a great quarter.
James Stewart: Thanks, Michael.
Operator: Thank you. Our next question today is coming from Rob MacKenzie from Iberia Capital. Please proceed with your question.
Robert MacKenzie: Thank you, guys. I like Michael’s final sentiment as well. I did want to dig in though on, excuse me, the non-frac businesses you acquired with RockPile. Can you give us a feel for you have already given us the kind of the revenue run rate, but what are your investment plans either in the cementing businesses, or the rest of it to grow from its currently fairly small level at this point?
James Stewart: Yes, I mean, we’re probably running about 20%, 25% of the cementing assets that we currently have. So we’re evaluating that business. We’re evaluating that into Bakken and then we’re ramping that up kind of, as we speak, and we’ll probably spend the rest of the year looking at that – from that standpoint. And then the other asset or some work over rigs in the Bakken and they’re pretty much fully utilized, so there’s really not much upside in that. So the big upside that we would have would be in the – on the cementing side, because between the Trican acquisition and RockPile, we have about 20 or 25 or so 24, 25 cement units that we can basically put to work.
Robert MacKenzie: So right now the cementing is only in the Bakken, and do you foresee it’s building that out again in the Permian and elsewhere potentially?
James Stewart: Well, yes, we’re going in the Bakken first and see how that goes and evaluate that. And if it’s viable, then we’ll continue to expand that into the Permian.
Robert MacKenzie: Okay, great. And then coming back to the frac side of the business, I think, Greg, you mentioned in the comments about the new frac capacity a big chunk of that, at least, not being additive to the market, or have you guys seen any impact at all in terms of the new capacity either from new entrants or people adding existing equipment in terms of the ability to push pricing through the market at this stage?
Gregory Powell: No, we haven’t Rob. In fact, I was telling somebody the other day, one of the most exciting things is that, we get updates on a competitor capacity from our investment community, which is find out how many fleets people are running and how aggressively they’re going. And the phone calls haven’t stopped coming in and we haven’t – the market’s been absorbing that horsepower as fast as people can put it back, which confirms the undersupply situation. So we’ve now felt that that existing customers and it hasn’t slowed down the phone calls coming in for urgent frac crews.
Robert MacKenzie: Great. Thank you. That’s it for me.
Gregory Powell: Thanks, Rob.
Operator: Thank you. [Operator Instructions] Our next question today is coming from J.B. Lowe from Bank of America. Please proceed with your question.
John Booth Lowe: Hey, good morning, guys.
James Stewart: Good morning.
John Booth Lowe: My question is kind of similar to last one. But in terms of, you guys say that you’re not going to look to add capacity until GP per fleet hits about $20 million, but that’s not necessarily to say that your competitors won’t be adding well before those profit levels. Is there anything in your contracts that would you’re pricing escalators every six months or what have you? But is there anything in your contracts that you’re looking to do that would protect you on the downside in case pricing takes a turn for the worse here as the rig count may go down next year?
James Stewart: Yes, I mean, look we’re fresh off this down cycle, so we’ve been through this. And our strategy with our customers is to kind of work with them through cycles. And our goal is to be that the last out in a downturn and we’re not naive enough to know that we have to mark the contracts to a market pricing. The escalators we have in there give us a softer landing on the way down and allow us to retain the work in higher utilization. And I think that’s that – the benefit of these contracts really shows up, it’s slower on the way up, but it’s really protective on the way down, and our performance in kind of 2015 and 2016 shows the benefit of these contracts versus a large amount of our peer group.
John Booth Lowe: Okay, great. And just to clarify the revenue guidance growth for Q3, that includes the $10 million or so run rate quarterly from the non-fracking service that you guys picked up from RockPile right?
James Stewart: That’s correct, J.B.
John Booth Lowe: Okay. All right. Thanks very much.
James Stewart: Thank you.
Operator: Thank you. Our next question today is coming from Daniel Boyd from BMO Capital Markets. Please proceed with your question.
Daniel Boyd: Hi, thanks, guys. I think, I have mainly a lot of just kind of model-clarifying questions. Given the increase in crew size, can you just help us with the average horsepower that you’ve had active over the past two quarters?
James Stewart: It’s – if you take our fleet numbers and then we’ve kind of been ratably moving from 40,000 horsepower per fleet up to –we’re now up to 45. So if you just take the fleet utilization numbers we have out there and put a – it’s kind of a 40 number and now it’s migrated up to 45,000 per fleet with the service intensity and the maintenance requirements.
Daniel Boyd: Okay. So it’s maybe around 42.5 in the first quarter 45 in the second, is that fair?
Gregory Powell: Sure.
Daniel Boyd: Okay. So when I run that through the model, it looks like sort of average price per horse as opposed to per crew was up about 7.5%, sequentially. And based on the comments that you made about activity driving about 60% of the increase and the other 40 presumably price driven. Is it correct to assume about something in the high-teens price improvement you’re expecting for the third quarter, on sort of average price per active horse?
Gregory Powell: Yes, I mean, I think something in the 15% to 20% is reasonable.
Daniel Boyd: Okay.
Gregory Powell: I mean, there’s only – it’s just now – it doesn’t go across the whole fleet, because there’s a portion that reopens. So you get that percentage on a portion of the fleet, but not everything.
Daniel Boyd: Okay. And it just happens to be the timing to where that increase is much greater in 3Q, or is it because of the acceleration leading-edge pricing?
James Stewart: Well, I don’t know the math you are doing. I mean, the hard part about calculating price on our book over time is a portion reprices. So the price is only relevant to a portion of the book in a quarter. So it’s hard to take that price and amortize it over the whole fleet. We could go offline and try to go into more detail if you want.
Daniel Boyd: Okay. Yes, I’ll follow up later. And then just on G&A, can you help us with G&A guidance for the third quarter? Now that you have RockPile and maybe give us the G&A guidance with and without stock-based comp?
James Stewart: Yes. So I mean, the way to think about G&A in the current quarter is the – the actual G&A was $22.3 million. If you take out acquisition integration cost at $2.5 million some legal costs of $5 million, and then the stock-based comp gets it to the $11.9 million normalized. The reason we backed out stock-based comp is this was a – when we did the IPO, there was a very heavy loading of initial options to get people loaded up at a multiple of what we’ll see on an annual basis. So that’s why it was normalized. So if you take the $11.9 million and if you want to add back the stock comp to that of $3 million, you’re in that – you’re in kind of that 15, 16 range, Dan?
Daniel Boyd: Yes, like I say so, 15, 16 is what we should expect for 3Q?
James Stewart: Yes, I mean, if you add back the stock comp and then probably a little bit of growth threading RockPile in there. So with the stock comp in there, it probably put it closer to 17, 18.
Daniel Boyd: Okay. Including and then when you – if you want to adjust it back out, you would get back down to 15?
James Stewart: Correct. Without the stock comp, I’d be at 15 going forward for the second-half. And with it, we’d be at 18.
Daniel Boyd: Okay. So then the corporate and other line that your reports or from an operating income perspective is probably going to be then around 23 – minus 23?
James Stewart: Yes, I don’t have that detail with me. We should probably just take – on the interest of time, we should probably just kind of go offline on this.
Daniel Boyd: Okay, a follow-up. And then just can you give us an update on CapEx guidance for the year?
James Stewart: Yes, CapEx guidance for the year is going to be around $90 million to $100 million. We’ve continued to stay ahead on maintenance CapEx and build – we’ve been building components in the warehouse like we’ve been saying for the last six months and that’s allowed us to not have bottlenecks on any components that are out there. So we’ve got really good deals in place with component suppliers and we’ve got a good inventory in the warehouse to make sure we can maintain our fleet, which is somewhere laser focused on.
Daniel Boyd: Okay, great. Thank you, guys.
Operator: Thank you. Our next question is a follow-up from Michael LaMotte from Guggenheim. Please proceed with your question.
Ishan Kapoor: Hey, guys, thanks. This is Ishan Kapoor on for Michael. Just wanted to ask, do you have that line of sight to seeing that horsepower for fleet number continue to grow, or I mean is it – are you seeing service intensity start to moderate as pricing on both sand services comes up?
James Stewart: Yes, I mean, I think it’s starting to moderate. There is certainly a step function as everybody’s been pushing the envelope on laterals and prop and loading. So, yes, I mean, I think we start to see it stabilize and we’re comfortable with that range we’re in with the current service intensity.
Ishan Kapoor: Okay. And then would you guys be able to get the regional fleet breakdown you have today? I know you said 50%....
James Stewart: Well, 50%, it’s about 50% in the Permian, 30% Marcellus/Utica, 15% Bakken, and 5% SCOOP/STACK.
Ishan Kapoor: Okay, awesome. And then final one from us, have you even seen any shift in sand consumption per well, or is the source of sand starting to change from Northern white in basin or have you noticed any operator preference between the two?
James Stewart: Yes. The bulk of the sand is still supplied out of the north and the fine meshes continue to be tied. So it’s a same dynamic we’ve been dealing with all year is mostly operators are doing slick water completions. The local mines in the Permian are just starting to come on in earnest. We’re a big believers in the local sand. We’ve got customers that have been popping it for 100 mesh, local sand for 2.5 years and we expect a high adoption rate. So we have signed a couple contracts for local sand. We’re big believers in it. It sounds like the capacity there is doubled and the perspective capacity. And just over the last probably eight weeks, given all the prospective supply coming online, the pricing on this local sand is starting to get more competitive, which from our standpoint is – makes the opportunity even that much more exciting.
Ishan Kapoor: Okay, awesome. Thanks, again.
Operator: Thank you. We’ve reached the end of our question-and-answer session. I’d like to turn the floor back over to Mr. Stewart for any further closing comments.
James Stewart: Thank you. Before we end our call today, we wanted to highlight a few key points on our quarterly performance and position going forward. First, we believe our strong performance during the quarter reflects our position as a leading provider of completion services with the ability to capitalize on favorable market dynamics. Looking ahead, we expect continued improvement in our financial results for the second-half of 2017, driven by increased pricing and recently deployments, as well as contributions for our RockPile acquisition. Thanks, again, for joining us today, and we look forward to speaking with all of you again soon. Have a great day.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.